Operator: Good day, everyone, and welcome to the Standard Motor Products Conference Call. I would like to now turn the conference over to Mr. Jim Burke. Please go ahead.
James Burke: Okay. Thank you, John. Good morning and welcome to Standard Motor Products fourth quarter 2013 conference call. In attendance from the company are Larry Sills, Chief Executive Officer, and myself Jim Burke, Chief Financial Officer. As a preliminary note, I would like to point out that some of the material we will be discussing today may include forward-looking statements regarding our business and expected financial results. When we use words like anticipate, believe, estimate or expect, these are generally forward-looking statements. Although we believe that the expectations reflected in these forward-looking statements are reasonable, they are based on information currently available to us and certain assumptions made by us, and we cannot assure you that they will prove correct. You should also read our filings with the Securities and Exchange Commission for a discussion of the risks and uncertainties that could cause our actual results to differ from our forward-looking statements. I’ll review the financial highlights and then turn it over to Larry followed by Q&A. We are very pleased to report our full year 2013 results. Key highlights include record sales and profits, benefits from integration of acquisitions, dividend increase for 2014 that was also previously announced, and a new share repurchase reauthorization. Looking at the P&L. Consolidated net sales in Q4 '13 were $218.7 million, up $26.4 million or 13.7%. For the full year, net sales were $983.7 million up $34.8 million or 3.7%. We always caution against reacting to a single quarter, positive or negative, and believe the annual results are a better indicator of overall performance. Let's now review revenues by segment. Engine Management net sales in Q4 '13 were $175.7 million, up $22.1 million or 14.4%. Full year sales were $711.2 million, up $46.1 million or 6.9%. The fourth quarter sales were very strong, reflective of certain customers broadening their product lines for commercial business. Overall, we believe as the market demographics remain positive and look for low to mid-single digit gains for the full year 2014. Temp Control net sales in Q4 '13 were $38.3 million, up $3.1 million or 8.7%. For the full year net sales were $262.5 million, down $6.3 million and down 2.3%. Excluding the benefit of CWI sales from January to April 2013 of $16.6 million which were not present in the same period in 2012, our Temp Control sales were down $22.9 million or 8.5%. This is reflective of the weak summer season in 2013 from the cool and wet spring followed by a very mild summer. In addition, 2013 was up against one of the hottest summers on record in 2012. We hopefully return to a more normalized summer for the 2014 season. Consolidated gross margin dollars in Q4 improved $8.8 million at 30.5%, up 0.4 points. Dollars year-to-date improved $30.8 million at 29.5%, up 2.1 points. By segment, Engine Management gross margin in Q4 improved $8.3 million at 31.6%, up 0.9 points, and for the full year improved $30.5 million at 30.7%, up 2.5 points. Engine management margin improvement reflects our key strategic initiatives that Larry will discuss further and the benefit of overhead absorption from higher production levels to meet increased sales levels. Temp Control gross margin in Q4 decreased $653,000 at 16.5%, down 3.3 points. For the full year, gross margin decreased $433,000 at 22.1%, up 0.3 points. As we pointed out during our last earnings call, we stated that margins would be under pressures in Q4 '13 and Q1 '14 as we reduce production levels. We do expect sequential margin improvements from Temp Control throughout 2014. Consolidated SG&A expenses in Q4 increased $5.3 million to 23.1% of net sales versus 23.5% in Q4 '12. For the full year, SG&A expenses increased $13.8 million to 20.5% of net sales versus 19.8% last year. The increased spending includes incremental cost from CWI and SMP Europe OE acquisitions. Our SG&A spend level has been fairly consistent across 2013 at roughly $50 million per quarter with a total spend of $201.3 million for the year. Consolidated operating profit before restructuring and integration expenses and other income net in Q4 was $16.3 million, up $3.5 million at 7.5% of net sales which was up 0.8 points. For the full year was $89.2 million, up $17 million at 9.1% of net sales, up 1.5 points. We are very pleased with the 150 basis point improvement in consolidated operating profit despite the weak Temp Control season we experienced. We look for temp control segment to recover in 2014, adding to further operating margin dollar improvements next year. Our restructuring and integration expenses in Q4 increased to $168,000 and were $3.4 million for the full year. This spending reflects integration cost related to our acquisitions and a voluntary employee separation program in 2013. The net effect of our operational results as reported in our non-GAAP reconciliation was diluted earnings per share in Q4 '13 of $0.42 versus $0.28 in Q4 '12 and full year 2013 of $2.32 versus $1.83 last year. Looking at the full year, operational diluted earnings per share improved roughly 27%. Turning to the balance sheet and working capital. Accounts receivable increased $26.6 million from December '12 which reflects the fourth quarter sales increase of $26.4 million. Inventory was essentially flat against December '12 levels, up only $2 million. Accounts payable also increased $9.2 million reflecting increased production volumes to match the strong Q4 sales. Total debt decreased $19.2 million in 2013, with our year-end debt balance down to $21.5 million. In addition to our debt reduction, other uses of cash in 2013 included dividends of $10.1 million, an increase of $1.9 million. On February 3, 2014, we announced a dividend increase of 18% from $0.11 to $0.13 per quarter, payable March 3, a week from today. We also repurchased 6.9 million of our common stock in 2013, reflecting a 1.9 million increase over 2012. Looking forward, our board of directors authorized a new repurchase program for $10 million. In summary, we are very pleased with our operational performance for the quarter and for the full year. Thank you for your attention. I will now turn the call over to Larry before we open for Q&A.
Lawrence Sills: Good morning, everybody. As we said in the release and as Jim mentioned, we are very pleased with our 2013 results. Despite a drop in Temp sales brought about the cold and wet summer, we set records for sales and profit. The fourth quarter was especially strong with Engine Management up 14% and, again as Jim said, this was influenced to some extent by some large customer pipeline orders as they were broadening their inventory to go after more commercial business. And Temp was up 8%. Now, obviously the fourth quarter is a very low quarter for Temp so the total dollars didn’t affect our numbers very much. But it did demonstrate that our customer base for this product line remains very strong and healthy. The biggest areas of improvement was in gross margin. It's up over 2 points for the year and as we have said, this reflects and is the result of our people's efforts over the last several years in many areas, our manufacturing products that we used to purchase, increasing production in low cost countries. We now have over 1,000 people in Mexico and about 300 in Poland, representing about 60% of our total manufacturing hours. Continuing improvement in our recent acquisitions as they are now fully integrated and savings on purchasing supported by our office in Hong Kong that we continue to invest in and grow. We continue to push these initiatives. For example, we continued to expand our engineering group in all locations. We now have over 120 professional engineers. Our goal is to manufacture as much as we possibly can. There are many benefits to this. Obviously, lower cost. We have better control over quality. We have better control over the supply chain. And we believe that our customers appreciate the fact that we are a basic manufacturer and this helps differentiate us from some low cost competitors who buy almost everything from third parties. If we turn to acquisitions. We were pleased to announce in January that we had acquired the re-manufacturing assets of Pensacola Fuel Injection. They had been our primary vendor for rebuilt diesel fuel injectors and other related diesel products. We will now be a basic manufacturer in this growing and increasingly important product line with all the benefits of being a basis manufacturer that I just mentioned. We begun relocating the production to our plant in Grapevine, Texas and the move will be completed by the end of the second quarter. We like these type of acquisitions. They are a basic part of our strategy for going forward. If you include Pensacola, we have now made six in slightly less than three years. And the first five are fully integrated and performing well and Pensacola will be there soon. These acquisitions have helped us to become more basis manufacturers. They have broadened our customer base. They have helped us into some new and related markets. So we believe this is a good strategy to follow and an excellent template. We continue to seek out acquisitions of this type. So that’s a brief summary of 2013. We are pleased with the results. The industry demographics remain positive and we look forward to 2014. And with that we are happy to open for questions. Thank you.
Operator: (Operator Instructions) And we will go ahead and take our first question from John Lovallo of Merrill Lynch. Please go ahead. Your line is open
John Lovallo – Bank of America Merrill Lynch: First question would be, in terms of Pensacola, is it fair to assume that the revenue contribution will probably be relatively small here and this is more of a margin improvement opportunity?
James Burke: Exactly, John. They are our primary supplier in that line so any growth in sales would be from the product category growing as opposed to acquiring any additional sales.
John Lovallo – Bank of America Merrill Lynch: Okay, that's helpful. Then if we think about the engine segment in the quarter, the strength, I mean you guys did point out that there was some product line broadening by some of the customers. But was there any weather impact that benefited you guys?
Lawrence Sills: I would say a little but not much. You are reading about how the cold weather is good for the industry and it is. But it varies by product. And obviously certain products are much more cold weather related than others. Big example is windshield wipers, right. It creates [indiscernible] the windshield wiper, the batteries and so on. The majority of our products in engine management are not affected. There are few that are and they did show a nice increase but for the most part our products which are electronic and sensors, are not that affected by the weather. Our weather is summer. We root for hot summer.
John Lovallo – Bank of America Merrill Lynch: Great. Okay. And then if I would just follow up with one last one here. I know you guys don't disclose multiples for acquisitions, but can you just generally talk about where acquisition multiples are today versus maybe in the past, maybe a year ago?
James Burke: John, I don’t think they moved that much that’s in there. And then the ones that were doing, again, I think overall the industry sees anywhere from five to seven. Maybe the distributors higher numbers. But ours are primarily bolt-on. But they don’t move that much. Again, they could be strategic if there is a key product category or something that we are doing and they are small. So absolute dollar impact is negligible to us.
Operator: And we will take our next question from Patrick Archambault with Goldman Sachs. Please go ahead. Your line is open.
Patrick Archambault - Goldman Sachs: I just wanted -- so in Temperature Control, you kind of gave a good read on the likelihood that that's going to improve. How should we think about the trajectory of Engine Management? I mean it seems like you're pretty much at historical highs here in terms of profitability. What's the ability to continue to see that go upwards or sustain that, I guess?
James Burke: Right. Okay. Again, from the top line, the revenue line there, we think all the demographics are favorable and we said excluding any individual quarters, low to mid-single digits on the revenue line. And to support that, we continue with cost initiatives that are in place there. So we continue to try to withstand our manufacturing. We are always evaluating product categories for low cost manufacturing. We have moved. We -- as they say, the low hanging fruit, we picked up the bulk of that. But we are always evaluating other smaller product categories as they mature more and if we are able to do acquisitions, that offers another little bump because many of those products can fit in there. So long story short, we look for continued improvement in these areas, including Engine Management.
Patrick Archambault - Goldman Sachs: Okay, that's helpful. And then just building on the acquisition question. I mean there is no -- certainly, you guys have done a lot in a very short period of time. When you look at your pipeline of potential targets, is there enough to suggest that you can kind of sustain this pace? Or is this one of those situations where a lot of stuff has been consummated in a shorter period of time and you're going to continue to look do M&A but it might be kind of at a slower pace?
James Burke: Our balance sheet is very healthy at the moment now and we have been doing very well with integrating these and look for these opportunities. We continue to work on them. We did six as Larry pointed out. I would love to find six more that’s on here. We are always working. We think there is opportunities, but I wouldn’t say that I am going to be able to do six for every two years that are in there. But we are working on them. And, again, our supplier base becomes a key category there.
Operator: And we will take our next question from Brian Sponheimer of Gabelli & Company. Please go ahead. Your line is open.
Brian Sponheimer - Gabelli & Company: Just wanted to touch base on the buyback. As you said, the balance sheet is in great shape and you've improved the operations. Your EBITDA is going to be over $100 million in 2014. Why just the $10 million? And it looks like you're in the position to do something more meaningful?
James Burke: One of the benefits is once we exhaust the $10 million, our debt levels as we pointed out, down to $20 million. We will address, if we don’t have the acquisition opportunities we will address it and we can always evaluate the share buyback and dividends as we move forward for our use of cash. Those are the key items. There are really four that’s in there, the dividends, the share buyback, pay down debt and acquisitions.
Brian Sponheimer - Gabelli & Company: Okay. In an ideal world, where would you want the leverage and the balance sheet to be, Jim?
James Burke: Right now we have a very good luxury, as you said $100 million in EBITDA and even if we had to stretch it 2.5 times, it offers us tremendous amount of gunpowder that’s in there. But we continue to do the bolt-on acquisitions, pay for them almost on an annual basis and return cash to the shareholders.
Brian Sponheimer - Gabelli & Company: And thinking just from an operational standpoint about the longer term impacts of the winter. Cars right now, whether you're getting the benefit now or not, they're being stressed by the cold in a way that they haven't in a winter in a while. Would you expect any benefit just from the added stress of this winter once it does turn hot again, or should we expect that summer needs to be hot for you guys to really get a...
Lawrence Sills: Again, as I said, you can give one answer. It varies by product. If we were in the tail pipe business it's great, because salt chews up the tail pipes. The majority of our business is not directly affected by cold, it's by hot later, different products. But the industry is good. And when the car gets hauled in for repair because it didn’t start or whatever happened, then maybe they will catch a few other things. But, again, we are not looking for a giant bump in our engine management line just because of the cold. And those things are short term anyway.
Operator: And we will take our next question from Bret Jordan of BB&T. Please go ahead. Your line is open.
Bret Jordan - BB&T Capital Markets: I was having some phone troubles and maybe I missed it, did you talk about what the inventory in the channels look like in Temperature Control coming into 2014?
James Burke: Yes. Again, it was a weak season, really, from the spring. So we think overall as we look at our big customers that are there, that the temp control inventories are in reasonable shape.
Bret Jordan - BB&T Capital Markets: Okay.
James Burke: I wouldn’t isolate it radically different than prior years.
Bret Jordan - BB&T Capital Markets: Okay. And then on Engine Management, this inventory build up or increased product exposure on some of the commercial business. Is that a front end load? Are you building inventory that now needs to turn or is this just a -- or would we expect some continued growth on Engine Management from some of this new product line you're seeing [ph] in the commercial customers?
Lawrence Sills: Well, again, they are broadening the product line because they have made a concerted effort to go after the commercial business. So I am assuming they are going to gain some of that and therefore this product will turn.
Bret Jordan - BB&T Capital Markets: All right. And then I guess a question on TechSmart and sort of where that is as far as strategic expansion? I know some of those are meant [ph] for highly engineered products, maybe as a percentage of sales or just a little color on that line?
James Burke: Well, we are starting small with it but it has a very nice potential. And we continue to invest in it. We invest in internal people to find the products, to source the products. We invest in marketing to get our name out there. And we think it has a nice future.
Bret Jordan - BB&T Capital Markets: Okay, great. And then one last question. I guess as it relates to intellectual property, it seems like some of the stuff here, more recently some of the OE folks trying to protect some of their R&D investments. Are you seeing any increasing pressure on some of your, maybe it's direct injection or any of the technologies that you've got in Engine Management that are drawing more attention from OE intellectual property rights folks?
Lawrence Sills: No. No. We don’t see any of that. In fact, I guess you are aware, our industry really won a nice, legal battle and political battle where we have settled, I am not the expert on it, but our industry associations have negotiated an agreement with the OEs. And I think this is very helpful and it's good for them, it's good for us. And we think we will all, especially our independent installers, have access to this information.
Operator: (Operator Instructions) And we will take our next question from Robert Smith of Center For Performance Investing. Please go ahead. Your line is open.
Robert Smith - Center For Performance Investing: Just wanted to, most of my questions have been answered, but the dividend, have you, at all, changed your payout targets? Because even with the increase, and you must have had a pretty good handle on the year, it's really lagging the aforementioned target as far as I understood it.
Lawrence Sills: Yes. We maintain that goal. It is a long-term goal of one-third payout. However, we decided, talking to many people, that the best strategy for us and for our investors is continuous small incremental increases. And that is the strategy we are following at this moment. So we are happy with this strategy.
Robert Smith - Center For Performance Investing: Okay. Anything you can tell me about the sensors business, the Orange, and how well that's doing? And any plans to broaden that?
Lawrence Sills: Again, it's growing. It's a nice business and it is in its relatively early stages. As the law requiring these censors is only about four years old, five years old, and so there is still a lot of growth in this business. And it is a wear part, it does wear out. So, yes, we are in relatively early stages now but we think it has a very nice future.
Robert Smith - Center For Performance Investing: Can it be broadened into other sensors?
Lawrence Sills: Well, we already do sensors. Sensors is our business. And we continually look for sensors. That’s become perhaps our largest or second largest product area. And, yes, more and more sensors on cars and more and more that’s going to be added to the line.
Robert Smith - Center For Performance Investing: Great. And I don't want to dwell on the Pensacola, but I imagine that the acquisitions essentially are opportunistic or strategic. And I'm wondering when we discuss the number that might be, appear in the future, you said. Could you give me some idea getting my arms around how many different possibilities exist? Are there many or...?
Lawrence Sills: We look at it all the time and we have a list and we look at it. We are prudent. We are not going to overpay and we are not going to do something that we have no understanding of. But within that group there are prospects out there.
Robert Smith - Center For Performance Investing: Okay. And congratulations, again, on reshaping the balance sheet. Wonderful job.
Operator: And it appears we have no further questions at this time.
James Burke: Okay, very good. All right, I would like to thank everybody for joining our call today.
Operator: And this concludes today's program and you may disconnect at any time.